Operator: Ladies and gentlemen, thank you for standing by and welcome to The Scripps Third quarter 2021 Earnings Release Conference Call. At this time, all the participants' lines are in a listen-only mode; however, there will be an opportunity for your questions. [Operator Instructions] As a reminder, today's call is being recorded. I'll turn the call now or to Ms. Carolyn Micheli. Please go ahead.
Carolyn Micheli: Thank you, John. Good morning, everyone, and thank you for joining us for a discussion of the E.W. Scripps company's financial results and business strategies. You can visit scripps.com for more information and a link to the replay of this call. A reminder that our conference call and webcast include forward-looking statements and actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. We do not intend to update any forward-looking statements we make today. Included on this call will be a discussion of certain non-GAAP financial measures that are provided as supplements to assist management and the public in their analysis and valuation of the Company. These metrics are not formulated in accordance with GAAP and are not meant to replace GAAP financial measures and may differ from other companies' uses or formulations. Included in our earnings release are the reconciliations of non-GAAP financial measures to the GAAP financial measures reported in our financial statements. We'll hear this morning from Scripps President and CEO, Adam Symson; Chief Financial Officer, Jason Combs; Local Media President, Brian Lawlor; and Scripps Networks President, Lisa Knutson. Also on the call is Controller Dan Perschke. Now here's Adam.
Adam Symson: Good morning, everybody, and thanks for joining us as we report another quarter of outstanding results. 10 months into Scripps' transformation into a fully different kind of television company, investors need to know we are operating from a playbook unlike anything else in the broadcast sector. In fact, we have become much more than a local broadcast company. Instead, we're a full-scale television company that will deliver outstanding near-term results as evidenced by our financial performance and also are well positioned to succeed in the evolving TV marketplace. While we operate a high-performing results driven and fully scaled local broadcast group, that's just part of the new Scripps story. The other part and what distinguishes us from our local broadcast peers, is our national Networks business and our focus on aggressively serving the TV consumer of today and tomorrow. We are delivering them what they want to watch, however they want to watch it. As we move toward the end of the Scripps Networks' first year, this division is accounting for about 40% of the Company's revenue and closer to 70% of our segment profit. And the Networks have helped us to once again increase our 2021 free cash flow guidance. We entered the year expecting $210 million to $240 million. But now we expect to close it out between $255 million and $265 million. This is free cash flow that will be quadruple our last nonelection year free cash flow performance of $64 million. The Scripps transformation into a fully scaled television company has made us more productive and far more durable. Our new asset mix is delivering outstanding results and positions us to capitalize on the future of television. And of course, our new free cash flow profile gives us an even faster path to paying down debt than we had as a smaller scale television company. In light of the changes we've undergone this year, I'm encouraging media investors to evaluate Scripps as much more than a local broadcaster. We now have access not just to local and select national advertising, but also to national advertising from the general market, upfront and scatter as well as the burgeoning direct response marketplace. Now we absolutely expect to benefit from the continued growth of retransmission revenue on the back of significant repricing opportunities ahead for us. And while retrans will account for about half of our Local Media revenue this year, similar to that of other broadcasters, it will be less than 30% of our total company revenue because we have expanded into new marketplaces where we have significant opportunity for share growth. Ever since we began remaking this company several years ago, our guiding principle has been to identify consumer media habits early and get ahead of the trends to create value. We will continue to profit from the important role our local brands play in the pay TV ecosystem, but consumers have many more viewing options now, and those new TV marketplaces also have opened up significant value creation opportunity for Scripps' investors. You already know we're the leader in free over-the-air television. This is a compelling marketplace that has grown to about 40% of U.S. TV households. And at any one time, almost 30% of over-the-air viewing nationwide is happening on a Scripps owned network or local channel. Our leadership in over-the-air is a cornerstone of our strategy. And consistent with our consumer focus, we are also growing our scale through our local and national media brands in the connected television marketplace. Today, all of our Local Media brands are available through the major CTV platforms and creating meaningful new revenue from them. In fact, connected TV revenue helped Local Media this quarter deliver industry-leading core revenue results. On the network side, Newsy and court TV already have nearly full CTV distribution. Bounce and ION are now moving into the CTV space. And over the next six months, we are methodically adding most of our other national networks onto key platforms as well. These moves open up revenue opportunity in the important fast-growing connected television marketplace with immaterial additional expense and thus, attractive margins. Scripps is playing today in all of the TV marketplaces. Our programming distribution platforms are diverse and relevant. Our revenue streams are also diverse and growing. Our profitability stems from efficient cost structures and operating leverage that provides a scalable platform for growth. So while we have much in common with our local broadcast peers and we love our local television business, we hope investors can appreciate the differentiated value creation Scripps is executing today. Those of you who know me well know I love my analogies. Well, to stretch a popular analogy a little further. At Scripps, we are changing the tires on the racecar as it goes around the track. We've upgraded the engine, and all the while, our quarterly results show that we've also been able to slam our foot down on the pedal to increase the speed. Now here's Jason.
Jason Combs: Thanks, Adam, and good morning. Before I start, just a quick reminder about our earnings tables from February 26, which provides an illustrative look at both Local Media and the new Scripps Networks divisions for the full year of 2019 and quarterly periods of 2020. My comparisons today will be on that adjusted combined basis. You can find our as-reported results in today's press release. Let's begin with the Local Media results for the third quarter. Local Media core advertising revenue was up 18.5% in Q3, and total revenue was down 15% due to the presidential election last year. Political ad revenue for Q3 was $7 million compared to $96 million in the third quarter of 2020. Local Media retransmission revenue was up 1.5%. Local Media expenses increased less than 10% over the year ago quarter. Segment profit for the division was $65 million. Turning to the Scripps Networks division. Revenue for the third quarter of 2021 was $227 million, up 18% from the prior year and above our guidance of up mid teens. Segment expenses rose 11% over the Q3 2020 adjusted combined results. Segment profit for the Networks was $83 million. As a reminder, we had guided to a sequential decline in segment profit and margin because of the expenses tied to launching Newsy and to other networks over the air. Shared services and corporate expenses were just under $18 million in the third quarter. The Company realized Q3 income from continuing operations of $0.49 per share. We had a $33 million gain on the sale of our Denver TV station building. We took advantage of the strong real estate market to unlock value with a plan to move to a more functional space. This and restructuring costs of about $2 million increased income from continuing operations by $0.25 per share. As of September 30, cash and cash equivalents totaled $106 million. That amount includes $34 million from the sale of the Denver building that will be restricted cash until January. We paid down an additional $50 million on our 2028 term loan during the quarter for a total of $500 million in voluntary debt pay down so far this year, and we expect to use excess cash to continue paying down debt in future quarters. Our net debt was $3.2 billion, and our net leverage remained at 4.7x per the calculations in our credit agreements. With our new cash flow profile and our 2022 political ad revenue outlook, we expect to move our leverage into the low 4x range next year. Looking ahead, I'd like to give guidance for a few key areas. We expect total Local Media revenue for the fourth quarter to be down in the mid-20% range. That's because we took in $137 million of political last Q4. We expect core ad revenue to be up in the mid single-digit percent range. We expect Q4 Local Media expenses to be up in the mid-single digits percent range. In the Scripps Networks division, we expect Q4 revenue to be up in the mid-teens percent range in comparison to adjusted combined results for Q4 of 2020. Networks expenses are also expected to increase in the mid-teens percent range. We continue to expect the Networks division to deliver a full-year margin of at least 40%. Q4 shared services costs will be around -- about $19 million. Finally, as Adam explained, we have raised our 2021 free cash flow range again. It's now $255 million to $265 million. And now here's Brian to talk about Local Media.
Brian Lawlor: Thanks Jason, good morning, everybody. For the third quarter, we're very pleased to be reporting industry-leading Local Media core advertising revenue that even surpassed our performance in the third quarter of 2019. This year's momentum in core advertising accelerated during the quarter, driven by significant new to TV advertising, demand for our connected TV advertising products and the rise of the sports betting category. Excluding auto, all of our top 13 advertising categories saw year-to-year growth. Our largest category, services, was up 13%. Travel and leisure moved to our second largest category in the quarter, up 220% due to spending on sports betting. Retail was up 6% and home improvement was up 18%. In addition to a strong ad market, our core revenue is being bolstered by our success capturing new to TV advertisers. Last quarter, I told you we brought in over 1,000 new advertisers. In this quarter, we again had over 1,000 new to TV businesses advertising who have been developed by our local sellers during the pandemic. Across our footprint, we are focused on maintaining a strong and consistent effort to bring new business to local television, an effort we expect will continue to pay off. Scripps also benefited in the quarter from the return of viewers to major league sports televised events. For the NFL, having fans back in the stadiums seems to have encouraged more fans to tune in from the couch. And the return of strong NFL ratings has been good for our advertising dollars. In addition, Scripps collected more than $15 million from the Summer Olympics and the NBA finals. That is a very good story and totally contrary to past concerns that sports viewing on linear TV was declining. Turning to political advertising. We continue to track reports that show record levels of political fundraising for next year's election, especially this early in the season. The Scripps footprint includes five highly competitive U.S. Senate races in Arizona, Florida, Nevada, Ohio and Wisconsin as well as eight highly competitive governor's races with open seats in Arizona, Kansas, Maryland and Virginia. And we have at least 20 competitive U.S. House races. With the nation's highly charged political climate expected to continue through next year's elections, forecast call for another record spending year nationally, and we expect the same at Scripps. Our retransmission revenue outpaced our expectations again this quarter as we continue to gain more virtual MVPD subs than we had modeled. We are pleased with the ongoing growth and monetization of the virtual subscriber households as part of the pay TV universe. Finally, last month, Scripps announced a $10 million investment in the esports company, Misfits Gaming. As investors are aware, people are spending much more time and money on esports and gaming, and the companies involved in esports are essentially media companies. For Scripps, the commercial opportunity comes from the content Misfits is creating for its fans and connecting our advertisers with Misfit's audiences. I am representing Scripps on the Misfits board as we develop key business areas in content and sales. We'll continue to update you on our esports partnership as it evolves. Now here's Lisa.
Lisa Knutson: Thanks, Brian, and good morning, everyone. I'd like to start this morning with a brief overview of the Scripps Networks activities since we created the division just 10 months ago. I'm extremely pleased with our progress in all of our key business areas. Here are some highlights. Through the third quarter, we've achieved year-to-date revenue growth of 13%, and we expect to outpace our initial expectations of 10% growth this year. We completed a very successful up run season with new business representing about 25% of our upfront dollars, realizing significant ad rate growth and growing overall dollars by more than 20% above the ION and Katz upfronts last year. We created an efficient and effective organizational structure for Scripps networks division that was designed to achieve the synergies we identified when we acquired Ion. And we are still on track to deliver exactly what we promised for this year. We launched three networks over the air, and all nine Scripps networks reach more than 90% of U.S. TV households. Finally, after months of preparation, we launched our popular streaming news network Newsy over-the-air on October 1. We hired about 120 journalists, opened 14 Newsy bureaus, most co-located with our local TV operations, set up a 24/7 news programming lineup, created a master control operation and built an Atlanta studio in our existing Networks building. Newsy has already delivered on nearly all the connected TV platforms and has realized tremendous success there with its non partisan, opinion free and fact based approach to reporting the news. We are now very pleased to be bringing Newsy to everyone with a television, computer or mobile device. Turning to our revenue performance. Our third quarter was up 18% over our third quarter of 2020 adjusted combined results. General market advertising grew about 15% during the quarter, and we're seeing significant spending across multiple Scripps networks from top national advertisers, including Procter & Gamble, Johnson & Johnson, Google, Pepsi and big pharma. Direct response grew more than 20% in the third quarter, driven by categories, including insurance, health and beauty, health care and pharmaceuticals. Looking to the fourth quarter, we expect another strong performance from direct response, led by health care open enrollment period. We expect Dr. to account for nearly half of our Q4 revenue. More than 30% of our Q4 revenue will come from the upfront dollars we booked during our very successful upfront season earlier this year. Commitments from the upfronts lay a very strong foundation for our revenue growth for the quarter and for next year. Just about 12% of our revenue for the fourth quarter will come from the scatter market. On the programming front, in the third quarter, we saw every Scripps network post an improved share of viewing in its specific key demographic group on a total day basis. In addition, overall, our networks captured a quarter of all viewing over-the-air in prime time through September. This ongoing viewership performance illustrates Scripps' leadership in the over-the-air marketplace. And we're capitalizing on that leadership by seeking out the best rate we can capture from anywhere in the national advertising ecosystem. In addition to our dominance over the air, the Scripps Networks are making significant moves to gain scale in connected TV distribution. Through the first half of 2020, we are initiating an aggressive launch schedule for most of our networks on CTV platforms. For example, Bounce is already launched on the fast service Sansung TV+ and will be available on seven more streaming services between December and February. Ion is on Samsung TV+ and VizIo's watch free service, and we'll launch across a number of other platforms in the spring. We expect to add both grid and Court TV mystery onto major CTV platforms next year. And as you know, Newsy and Court TV are already significantly distributed on CTV. During the third quarter, our connected TV revenue grew 50% over Q3 of 2020, and we expect that to be just the beginning of our revenue growth trajectory and expanding CTV marketplace. And now operator, we're ready for questions.
Operator: [Operator Instructions] And first from the line of Dan Kurnos with Benchmark Company. Please go ahead.
Dan Kurnos: Great phenomenal Networks results, I think, and then into Q4, kind of running contrary to some of the maybe other puts and takes we've heard in the marketplace. So maybe two questions for me, first, Adam, you talked -- and Lisa, you talked a lot about expanded distribution channels. I guess, can you help us sort of size, what's left to do out there? Obviously, you have coverage, but in terms of getting incremental distribution, either kind of the breadth that you still have available to you? And subsequently, the impact that you see that having on sort of your blended CPMs as you get opportunity to get into more dynamic ad insertion environments. Well, why don't you start there, and then I'll ask my follow-up.
Lisa Knutson: Yes. So I think there's a couple of things there Dan to unpack. In terms of OTA distribution, as I said, we're -- each of our networks have fully distributed 95% of the country. You'll see that we'll continue to expand that even over the course of the next several years and really optimizing that distribution across all of our networks. So that's number one. When you're 95% distributed, we still have -- we still see some growth potential there. As I mentioned in CTV, we see that as a big growth area for next year, launching Bounce this year. ION, ION Plus already on Samsung TV and launching most of our networks over CTV platforms over the course of 2020, and we see that as a really big growth area, not only for us in Networks, but for the Company. And Adam, you may want to touch on CTV growth for the Company as well.
Adam Symson: Yes. I mean, more broadly, we see expanding our scale in CTV as a critical component. I mean the CTV CPMs are, as you know, Dan, measures higher than what we've seen in the linear space. There are limitations, obviously, to the ability right now to sell some of it, but we expect that our focus will be on continuing to push forward all of our national brands on to CTV platforms. Really, all of the CTV platforms where we see critical scale, and we're already there on local. And I mentioned during my prepared remarks that our focus on CTV is enterprise-wide, but our Local Media division has been aggressively pursuing CTV distribution and aggressively bringing CTV products to our advertisers. We really see the ability to serve our advertisers with connected television eyeballs as core to what we do with the relationships we already serve them with. And having the right products to bring to them and ensuring that we're able to help them meet the needs of their campaigns has, I think, really paid dividends for us.
Dan Kurnos: And then just to be clear, I guess, Lisa, obviously, we heard sort of some commentary really for the first time that I can remember that like Viacom was willing to be flexible and pushed upfront dollars out of Q4 and possibly into Q1, even though we all know those are firm commits, and there's no cancellation. It doesn't sound like that's an issue for you guys, if anything, you kind of highlighted incremental CPG spend in your commentary. So if you can just talk about the dynamics there, if that -- if you're seeing anything on that front?
Lisa Knutson: Yes. I would say from an upfront perspective, we laid in a good foundation, and we're not necessarily seeing any cancellations there. We did see just like others across the industry, some lack of visibility, I would say, into the scatter market. So we quickly shifted some of that inventory out of scatter and into DR. DR in the fourth quarter is going gangbusters. And so it was really a move on our part to continue to maximize yields across our networks.
Operator: Next, we'll go to Michael Kupinski with Noble Capital Markets. Please go ahead.
Michael Kupinski: Congratulations on a strong quarter and a good great guide. Anyway, I just wanted to think about the new broadcast standard ATSC 3.0. I'm wondering if it's a friend or foe for the national networks because obviously, we have the ability potentially to have additional spectrum and then ability to launch additional networks to fill the spectrum. And I'm wondering if that potentially could create a glut of advertising and so forth on national networks. Just kind of give your thoughts on how you see things unfold. And of course, we're looking a couple of years down the road, but just your thoughts on how the networks would perform as we see the ability to launch -- have more national networks?
Adam Symson: I absolutely see it as a friend. The reality is we have such a leadership position today with respect to distribution that we've built a scalable platform and were we to have the opportunity to expand into additional networks. For us, it's a matter of essentially almost flipping a switch, especially given how much of the spectrum we actually own as a result of the ION deal. So recall that you can be in the multicast space. But in order to actually efficiently monetize your networks, you have to have enough scale to both take them to the national advertising marketplace and ideally get them Nielsen rated. The fact that we were able to launch three networks this year, true real, Defy and Newsy; instantly, more than 90% of U.S. households, I think, gives investors a clear view of the competitive advantage we have, given the ownership of spectrum. And were we to choose to bifurcate or to expand that spectrum with additional ATSC 3.0 capabilities, it would actually just lead to additional revenue opportunity for us with very minimal expense.
Michael Kupinski: My other question is about auto advertising. I know that we obviously know all about the chip shortage and so forth. But maybe, Brian, do you have any visibility on -- from the dealerships or when we might see this kind of transitory environment kind of move to a better environment in terms of products coming out to the market and the prospect of seeing advertising. I mean, certainly, it doesn't sound like it's going to happen in the fourth quarter, but do you have any visibility as we kind of look to the first quarter next year?
Brian Lawlor: Hey Mike, it's Brian. Look, clearly, the chip shortage is creating inventory challenges for local dealers. The good news is that local dealers in many of our markets are still advertising, whether it's used car or just keeping their brand out there or pushing the models they have. They were not far off from flat in the third quarter, the individual dealers. The primary decline is coming from the dealer groups and the manufacturers. And I think that will be consistent through the first half of next year. I expect that the individual dealers will remain active. But I think until product starts rolling out. And it does vary a little bit by brand. We are seeing some brands starting to get some cars back. We've seen some of the farm brands that have done better, managing or having access to chips. So it really depends brand to brand. But if I had to handicap it, I think that the first half of the year will probably still be soft from the manufacturers and the dealer groups. And I think individual dealers will continue to be active.
Operator: Next in the line of Steven Cahall with Wells Fargo. Please go ahead.
Steven Cahall: Maybe first, just on CTV, Adam. Just wondering if, at some point, you might give us any data on what your digital revenue is. And we've heard that there's been a little bit more cost in SAC in CTV just because of the competition for things like home screen. So I'm curious how you're thinking about SAC as you try to drive more viewership onto the CTV networks like Newsy and others as you build that part of the business?
Adam Symson: Well, right now, we see it is entirely upside. Lisa described our plan. And we've got a matrix that she has provided us. We can't provide it to you, but that literally is a road map for an aggressive rollout schedule, moving all of our brands into the CTV space. And so the first order of business is for us to get all of these premium programming channels with no incremental expense to move into CTV services and begin then to really do the customer acquisition. The first thing is distribution, then to do the customer acquisition so that we can put our brands, our premium channels in front of people. And then, of course, to monetize it. I still see the space as very immature. I expect this significant growth ahead. We're not going to break out our CTV revenue for now. But I would expect that you'll continue to get significant color from us in local and national on the efforts we're making in the CTV space. As I said, this is an important component of the future of television. We're very focused on serving audiences and advertisers everywhere they're going to be. And so you should expect us to aggressively move our brands and our business into CTV in order for us to improve our operating leverage in that space. And we see it as an opportunity for us actually to enhance our margins over time.
Steven Cahall: And then, Jason, I think we've had a few free cash flow upgrades recently. I assume we can just expect those to go on every quarter. But seriously, I'm curious what's been outperforming since your expectations as you move through the back half of the year.
Jason Combs: So the free cash flow move has really been driven just by the strong rebound in both the local and national marketplace. The revenue rebound throughout the year has been the catalyst that's driven that. So it's really been sales execution and strong rebounds in the markets that's driven the free cash flow guide, two upgrades at this point throughout the year.
Operator: Our next question is from John Janedis with Wolfe Research. Please go ahead.
John Janedis: Adam I expected more analogies in the answers, but based on how you let in. But let me just start with when the streaming services talked about adding NFL games to the platforms, there was really a lot of concern on what it can mean for the broadcasters. And so a couple of months in, can you share what you're seeing and if there's been any impact to speak of on the business? And then separately, if the supply chain issues across the market, I guess, increase, does DR provide a hedge relative to what the broader market might see? And is there a way to maybe talk to growth you're seeing in DR relative to everything else in the segment?
Adam Symson: Thanks for the question. So look, I mean, right now, for the here and now, I think Brian gave you some good color on the impact we're seeing today with NFL, higher ratings across the board. That's obviously good for our advertising rates and for the marketplace. Relative to the 2023 contract, I'm actually elated by what we see in the new NFL contract with respect to the way the NFL has sort of engineered their distribution. I think they've engineered their distribution so that they can have their cake and eat it too. They're both going to maximize their distribution opportunity for them financially on digital platforms. And more importantly, for us, bring more football back to broadcast. So first, having more football in ABC is going to be good for Scripps, given our portfolio makeup. That's just basic. But more broadly, as a company that's focused on growth of the OTA marketplace, I couldn't be more excited about the NFL's decision to maximize their distribution back over the air. The 2023 contract is really going to be a catalyst for the further growth of over-the-air because next year, cord cutters and cord nevers, they're going to have two choices for football. The first choice they're going to have is going to be to sign up for multiple different subscription services and then try to navigate when and where to watch their games on Sunday, Monday and Thursday. And we just see that as confusing and clearly economically inefficient. The other option will be for those same consumers to plug-in a digital antenna and turn to broadcast TV for free live HD football. So to us, the choice will be obvious, and we're going to make sure that consumers understand how to make that choice and how to make the choice that makes the most sense for them. More football on free broadcast is good for TV. It's good for the NFL. It's good for American football fans. And obviously, given our position in the over-the-air marketplace, it's going to be really good for Scripps. So we're very excited about what we see in the new NFL contract. Not only am I not concerned about the digital rights, but the fragmentation of digital rights actually means positive momentum for OTA.
Lisa Knutson: Supply chain.
Adam Symson: I think, supply chain. At this point, sorry. I'm still caught up in that answer. In terms of supply chain, we're really not seeing any issue as we move through the fourth quarter. We've talked about automotive. That has been the one category that's been adversely affected. A little bit in retail here and there, but nothing material. Retail is a growing category, was up in third, up in fourth. As I said in my prepared remarks of our top 13 categories, 12 of them were up. Only automotive was down. We're seeing the same trend now through fourth quarter. October was very strong. So we're just seeing no real impact of the supply chain beyond auto.
John Janedis: Brian, just to dig into that a little bit more. I just wanted to ask because let's just say if that were to increase, does DR provide a bit of a hedge? Or I mean, are those advertisers, are they more sticky in that kind of environment? Or would it all be direction of the same?
Brian Lawlor: Yes. So I'll start on the local side. I think DR is always an option for us to be able to fill available inventory. But again, we haven't needed it. I mean, again, I talked about our commitment to developing new business, 1,000 new advertisers are on the air in the quarter. That was a deliberate focus for us over the last year. We're having a ton of success. And as a result of that, that's putting a lot of pressure on our inventory, and it's actually increasing our CPM. So we haven't had to fall back on the DR marketplace. But I'm going to throw it over to Lisa, who probably is more active there.
Lisa Knutson: Yes. And John, I mentioned earlier, our priority in maximizing our yield across our networks is really pulling that lever in the fourth quarter, in particular, where the DR dollars, as I said, are on fire and the CPMs are high. And that's mostly driven by the healthcare open enrollment. We will continue to look at and certainly in first quarter and beyond, as we have better visibility into the scatter market. We'll just continue to maximize that yield. If it's DR where we can glean the higher rates, then that's where we'll place our inventory. Otherwise, we'll continue to maximize rates in the scatter market. Like I said, we're not seeing necessarily cancellations, but we're seeing like a lack of visibility. Buys are just not -- they're happening sort of just-in-time versus placing buys throughout the quarter.
Adam Symson: But also, Lisa, just as a reminder from what you had said in your prepared remarks, we have very little exposure right now in the fourth quarter to the scatter market.
Lisa Knutson: Yes.
Adam Symson: Right at 13% --
Lisa Knutson: Yes, 12%.
Adam Symson: 12% of -- 12%. So the reality is that the yield management machine, I think that was the thesis behind our ION acquisition and bringing our networks together has really insulated us from anything you're seeing at some of the other networks. And I think you saw a guide for fourth quarter that really stands out on the networks' side as a result.
Operator: Our next question is from Craig Huber with Huber Research Partners. Please go ahead.
Craig Huber: Question on costs, please. On the cable networks' side, can you just help us think about any -- all the investment spending you guys are doing on the cable networks' side, how it impacts the fourth quarter but also preliminary look into next year, please? And I have some follow-ups.
Lisa Knutson: Yes. So Craig, we had sized as we were building Newsy to launch over-the-air plus launching two networks earlier this year, somewhere in the $25 million to $30 million range in terms of the -- both from a capital perspective, but also expense, and that's where you've seen a little bit of a dip in our margins in third quarter, certainly rebounding and expanding next year. So we expect to be in the 40% range in 2022. So quickly growing those networks, In fact, two of the new networks that we launched earlier this year, Defy and True Real are already outperforming the former networks that were on Ion's multicasts, which were Cubo and ION Plus, and they were around for 10 years. So we're growing those networks. We've made, I think, minimal investment for what we think is the growth opportunity there.
Adam Symson: And just one thing, Craig, I can't let it go without sort of reminding everybody that these aren't cable networks, right? Cable a marketplace that ultimately one way or another is sort of in decline. These networks do have cable carriage in many cases, but they reach 90% of U.S. homes over the air, and we're moving them into the connected television marketplace, where we expect to see continued growth in distribution and audience size.
Craig Huber: And then a couple of nitpicks, I guess, Brian, if I could ask. Retrans, maybe I missed this, but how much were those down, the net retrans subs, in the quarter year-over-year? And also I wanted to ask you, sports betting. Is that a top five category for you now? And where do you think that's going here? And maybe give us an update on the number of percentage of the states that your TV stations are in that have sports betting.
Brian Lawlor: Sure. First of all, relative to our sub changes, Craig, they improved in the quarter. We were down less than 2%, so some incremental improvement there. And then over the course of trailing 12 months, we're under 5% in terms of the decline. And then shifting to sports betting, well, it's sort of a top five category because it's rolled up in our travel and leisure category, which it's, by far, the driving segment of that. We also have like casinos and lottery and events, concerts, tourism, stuff like that in that. But probably now more than 80% of the category is travel and leisure. So it by itself would be a top five, it rolled up inside and leisure is now the second highest performing category, did surpass auto, which is the third. In terms of how we're thinking about it, it's -- sports betting is rolled out now and still less than half of our markets. I think some of our biggest states and opportunities are still to come. When we think about Ohio, we think about Florida. California. Right now, Louisiana is about to come on board. Maryland is about to come on board, New York is pending. So it's been a terrific two-year run. I think it's established in some of the early states of Indiana and Michigan. It just rolled out in September in Arizona, and there's big spending going on there, and we expect that to continue. And so as other states now come online, especially some of our bigger ones, we see a lot of opportunity moving forward. So I still think it's very much early in the game for some states, it's nowhere in the game. And for other states, it's settling into a normal advertising cadence. And look, I just think this is the beginning. I think as more of the country introduces sports betting, and it becomes more standardized, I think as we look at Europe and other places, the majority of spending in sports betting over the majority of activity in sports betting happens in game. That's not the case yet in the United States. And so as sports betting gets rolled out and there's laws and rules that kind of become standardized, the opportunity for a much more active and involved engagement within game, I think, is a big opportunity for us moving forward. But that's a couple of years down the road. So I think we have a couple of years of good development, launch spending. And then beyond that as it settles in, I think it moves to the next phase, which is its most active.
Craig Huber: And my other question, Brian, I think you said your core ad revenue for the fourth quarter, people should expect up mid-single digits. If you take out auto, how would that number look, please?
Brian Lawlor: Obviously, even better. A couple of points better than ICRA. So we're -- and of course, our comps are a little easier. We had $138 million in political over really five weeks last year. So as you would expect, we had a boomer October as a result of kind of the clearing out of that. November is off to a great start. But I think you'll -- when it's all said and done, we'll see exactly what we saw in third quarter. Except for automotive, we will see very strong performance, and I would expect growth in nearly all of our top categories.
Craig Huber: And then my last question, guys, are you sensing at all any slowdown in the U.S. economy as you look at your national networks and also your local TV station side of things. Curious on your thoughts there, please?
Brian Lawlor: I'll go first and then throw it to Lisa, but we just reported that our third quarter of 2021 was better than our third quarter of 2019, and that's with a major dip in automotive. I think that should -- and you see the strong performance in new business and local activity. I think that's a really strong indicator that, from our view, the economy is very healthy.
Lisa Knutson: I would echo Brian's sentiments. We're not seeing any pullback at all.
Operator: And to the presenters, we have no further questions in queue.
Carolyn Micheli: Thank you, John, and thanks to everyone for joining us today. Have a good day.
Operator: Ladies and gentlemen, that does conclude your conference. Thank you for your participation. You may now disconnect.